Operator: Good day, and thank you for standing by. Welcome to the Mips Interim Report Second Quarter 2025 Webcast and Conference Call. [Operator Instructions]. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Max Strandwitz, CEO. Please go ahead.
Max Strandwitz: Thank you, operator. Good morning, everyone. My name is Max Strandwitz. I am the CEO of Mips. And with me today also presenting, I have our CFO, Karin Rosenthal. We will take you through the Mips Q2 2025 results presentation. And if we start with the key highlights of the quarter, we saw good development in the quarter with 12% organic growth in the second quarter despite very challenging conditions. Year-to-date organic growth is now at 23% plus. The rapid implementation of tariffs did have a significant impact on sales across all the 3 categories. However, we did see that the sales improved over the course of the quarter as the effects of the tariffs became a bit more predictable. We did see volume growth on the U.S. market despite all the challenges. We did have a slow start at the beginning of the quarter due to tariff uncertainty. Europe continued with unchanged momentum during the quarter, which we were very happy about. We did see an EBIT decrease in the quarter, fully explained by legal costs and the negative impact from the ForEx effect. We will come back a little bit to that later in the presentation. And as we see these effects as temporary, we remain confident on the long-term strategy and our financial targets. In terms of the current situation and the expected impact from tariffs, we did see that the rapid implementation of tariffs brought uncertainty to the short-term outlook in all our 3 categories in the U.S. market. A lot of our helmet brands have taken price increases to mitigate the on cost from tariffs and the price increases have been well accepted by the retailers. Just for reference and important to understand that in 2024, 53% of Mips' sales was to U.S.-based brands. These products are then, of course, sold all over the world. Brands from other parts of the world are then, of course, also exporting to the U.S. Our assessment is that a bit more than 50% of the volume that we do lands on the U.S.-based market. We do see that helmet brands have started to relocate production outside China to derisk the potential impact of further tariffs. And we continue to expect short-term demand swings from the implementation of tariffs. If we then look at sport, we are really happy to see that the progress continues. We did achieve a 3% net sales growth in Sports. If we adjust for currency effect in Sports, we did see 13% organic growth. Despite the effect of the implementation of tariffs, good performance in bike. And we did actually see volume growth in the quarter for 7th time in a row, which is, of course, extremely strong. And also, we did see strong growth in Snow despite that we had a very strong prior year comparator. Just to remind you, Q2 last year, we grew 60% in Snow. So we were up against a very tough comparator. But despite that, we managed to deliver strong growth also in the Snow subcategory. We did see volume growth in the U.S. market despite the tariff uncertainty. Europe continued to develop well and in line with our ambition, and we are happy to say that we actually managed to deliver again above 50% growth on the European market. We have just finished Eurobike a couple of weeks ago, and Eurobike is the biggest bike show in the world. Two great news from us. First of all, we launched our new Mips Air Node Pro version in bike, which is our lightest version and belongs to the Air family with a lot of new great features. And we also launched our new mobile event concept, which will also roll out to a lot of B2C events and also part of our strategy of doing a lot of more public events and so on. And I'm sure that you will see it at an event close to you. Both of these were very well accepted both by the visitors and of course, our customers at the show. And as we see that we are doing a lot of progress despite the very erratic behavior around us, we have a very long-term positive on the outlook of the sport category. In Moto, we saw softer performance with a decline of 28% in the quarter, fully explained by the implementation of tariffs. Our presence in Moto is smaller. And there, of course, we don't get as much priority among the brands. And of course, we also saw a negative impact from the strengthening of the Swedish krona. So the ForEx impact. And as we are investing in Moto, we did welcome 2 new athletes during the quarter. The first one being Jorge Prado, which is one of the most decorated MX riders in the world. Last year, he won the MXGP Circus. He now has entered into Supercross in the U.S., and we are really excited to have him on board as another ambassador in the MX subcategory. And then we also have managed to sign Joan Mir, which is the former World Champion in MotoGP. So 2 great ambassadors and 2 great athletes that will help us building the awareness in the Moto category. Even though it was soft performance in the quarter, we expect it to bounce back and no change to the long-term outlook, still great opportunity to continue to grow in this category. In Safety, similar to Moto, we saw soft performance with 12% net sales growth. Also here, we saw an impact of the delays in ordering due to the tariff effect. No change to the assumption. We still get a lot of new brands and, of course, launch a lot of new products on the market. The ones that are following us on LinkedIn did see that we, last night, announced a partnership with the key helmet brand, Bullard. They are one of the larger helmet brands in the industry. And it's also good to know that the founder of Bullard, Edward W. Bullard actually is considered to be the inventor of hard hats. So great to have them on board, and we're really excited to partner up with this iconic helmet brand. If we then look at the development of net sales in our category; Sports, 30% (sic) [ 3% ] organic growth with growth both in bike and snow, which we are very pleased with, especially given the challenging situation around us. Moto, soft performance, will bounce back coming quarters. And also in Safety, no change to our long-term ambition. With that, I hand over to Karin.
Karin Rosenthal: Good morning. I'm Karin Rosenthal, CFO of Mips, and I will take you through the financial part of the presentation. We saw good development in the second quarter with an increase in net sales of 1%. And adjusting for currency effects, which was 11% due to a stronger SEK versus U.S. dollar, net sales increased 12% organically. Gross profit increased with 3%, and we saw a strong gross margin of 74.2% versus 72.9% last year. And the increase is mainly explained by the sales mix. In OpEx, we continued to invest in our strategic priorities, and it was also negatively impacted by legal costs of SEK 14 million in the quarter. EBIT was down 22% to SEK 41 million compared to SEK 52 million last year, and the EBIT margin decreased by 8.8 percentage points to 30.1% compared to 38.9% last year. And operating cash flow amounted to SEK 18 million versus SEK 29 million last year. If we look at the financial KPIs, 12% organic growth, 30% in EBIT margin and SEK 18 million in operating cash flow. If we then look at the development for the first 6 months, net sales increased with 16% and adjusting for FX due to a stronger SEK versus U.S. dollar, net sales increased 23% organically. Gross profit increased with 19%, and we saw a gross margin of 73.2% versus 71.6% last year, and the increase is mainly explained by a favorable sales mix. In OpEx, we continued to invest in our strategic priorities, R&D and marketing, and it was also negatively impacted by legal cost of SEK 23 million. EBIT was down 1% to SEK 65 million, and EBIT margin decreased by 4.4 percentage points to 25.9% versus 30.3% last year. We saw a good operating cash flow of SEK 55 million versus SEK 20 million last year. And the financial KPIs, organic growth of 23%, EBIT margin of 26% and SEK 55 million in operating cash flow. If we then look at the balance sheet and cash flow, we have a strong cash position, and we don't hold any loans. We had cash and cash equivalents of SEK 244 million. We paid out SEK 172 million in dividend in May, corresponding to SEK 6.5 per share or 122% of net earnings. And the operating cash flow in the quarter amounted to SEK 18 million, and we had the equity ratio of 85%. And then I hand over to Max.
Max Strandwitz: So if we then summarize the quarter, thank you, Karin. We have navigated well in the quarter. Good development in the quarter despite the challenging conditions that we saw. All the 3 categories heavily impacted by the implementation of the tariffs. We did see that the situation improved at the end of the quarter. We expect some uncertainty short term, but not to the great extent that we saw during the second quarter. And we remain positive on our long-term outlook and the delivery of our financial targets. And with that, we open up for questions.
Operator: [Operator Instructions] And now we're going to take our first question, and it comes from the line of Adela Dashian from Jefferies.
Adela Abdenian Dashian: A couple of questions from me. If we start with the sales development during the quarter, are you able to explain why the bike category is, I guess, a bit more resilient than Moto and Safety despite also being affected by the same type of tariff headwinds? Is it mostly due to inventory levels still being not normalized yet within that category? And then also on Moto and Safety, you are in the text explaining that some of your customers are strategically focusing more on their own measures such as relocating factories and so on, which is resulting in project delays. How confident are you of a come back already in H2?
Max Strandwitz: Yes. So I think, first of all, when it comes to priority in supply chain and with our key customers, as you say, bike and also snow, there, of course, we have quite a lot of volume. When the factories started up again their production for the U.S. market, of course, for them, it was key to get the volume out as quick as possible. Of course, they prioritize the high-volume sellers. Since we have gotten quite far when it comes to bike and snow, they prioritize the high-volume runners. And of course, we are there already in snow and bike. And of course, in Moto and in Safety, where we normally start with the more premium products and so on, sometimes, of course, you get down prioritized. So that's what happened in Q2, not something that I'm worried about long term and something that has happened before. So bike and snow, a lot higher volumes, they do get priorities in the factories. Then, of course, we did return back to growth already during the second quarter. We saw a good momentum. What we saw during Q2, at least from Mips point of view and I think from the world point of view, was quite exceptional. And of course, it's not the normal condition. So yes, we do expect to bounce back already in Q3.
Adela Abdenian Dashian: Got it. And then on the gross margin, can you explain a bit what you mean here by the sales mix being favorable?
Max Strandwitz: Yes. So first of all, we did a little bit less of projects during Q2 because, of course, our customers focused a lot more on relocations. Projects normally have a lower margin. And by having lower margin, you can increase the sales mix. And then, of course, also, also we saw some favorability in costs. So overall, really good performance on gross margin.
Adela Abdenian Dashian: If customers then return to more normal project pace in H2, then we shouldn't expect the same type of margin uplift?
Max Strandwitz: No, I think -- I mean, focus for this year, I think, will still be a lot on relocations because, of course, everyone are worried about what's happening in the world and they want to derisk their supply chain. I think the exceptional margin that you saw in Q2 of 74.2%, I don't think that's to expect going forward. We said that we expect 70% long term, and that's still valid. But indeed, it was a very good strong margin in Q2.
Adela Abdenian Dashian: Great. And then just lastly on this lawsuit or legal dispute, I saw that the legal costs were higher now in Q2 versus Q1. Is there an expectation that it will continue to trend upwards as your customer is getting closer and closer? And just overall, do you have an update on what's happening timing-wise with that lawsuit?
Max Strandwitz: Yes. As we're still in preparational phase, of course, costs are quite high. I think it's fair to assume what we had year-to-date, you can assume also a year to go. So basically, doubling of the legal cost that you have seen so far. I think that's fair to assume. And like I said, in these cases, you can do a lot of different things. But from Mips' point of view, of course, it's really important to take these things serious. There is about someone else IP rights, which we don't think is right. And then, of course, we want to act. It's part of our business model, and that's why we want to prepare in the best possible way. You don't want to go into these sessions unprepared, and that's not what we plan to do, and that's why you see more cost. These things are, of course, really, really expensive, but for us, something that we are very committed to do.
Adela Abdenian Dashian: Sorry, I just want to confirm I heard the right thing. So are we expecting a doubling from what you've already paid in H1 going forward?
Max Strandwitz: No. The same run rate. So I think you have SEK 23 million in the first 6 months and then probably somewhere in the same range for the second half.
Adela Abdenian Dashian: Got it. Got it. Then just lastly, if I may, and then I'll step back. On safety, are you still targeting the same type of guidance range that you've provided before in terms of sales?
Max Strandwitz: Yes. There is nothing that has changed. We are now going into the very heavy fair season. We have ASSP coming up next week. Then we have NSC in the U.S. in Denver in September. And then in November, we have A+A, which is the world's biggest construction fair only happening every second year. So there is a lot of momentum in the category, and we're really happy about that. So no change.
Operator: Now we're going to take our next question, and the question comes to the line of Gustav Hagéus from SEB.
Gustav Hagéus: If I was to return to organic growth, so 12% in the quarter, you say it accelerated towards the end of the quarter, but not back to the level that you saw in Q1, which I believe was just above 40%. And I believe, in fact, the consensus is at around 29% organic for Q3. But could you sort of indicate if you see an acceleration in H2 versus H1, you're now at 23% year-to-date, right, in organic growth? Or where do you think your growth is at the moment going into July and so forth?
Max Strandwitz: Yes. We do expect an acceleration versus the 23% organic growth you see year-to-date.
Gustav Hagéus: Yes. And that's already in Q3? Or is that more of a Q4 story?
Max Strandwitz: No, I think it's for the balance of the full H2. I think you will see maybe a little bit or around the same figure in Q3 and then, of course, trending upwards in Q4.
Gustav Hagéus: So plus 20%-ish Q3 is not a bad guess then. I realize you don't have all the transparency, but...
Max Strandwitz: Yes. Based on that assumption, yes.
Gustav Hagéus: Good. And then sort of looking a little bit longer term than your target of SEK 2 billion by 2029 in terms of sales. From then -- from what you see now from 2025, do you believe you're still on the trend to achieve that? And where do you see sort of the steps to getting that? Where do you expect more growth versus a little bit less perhaps on that journey towards the SEK 2 billion?
Max Strandwitz: Yes. I think, I mean, if you look at last quarter and also the quarters before, we were, of course, trending on that level. We expect to continue to trend above that level. Of course, we have a couple of different strategic priorities. The first one and most important one is to grow with the customers we already have. Of course, U.S., we have been doing well. Even though it's a very challenging market, we have still managed to grow on that market. Europe, you saw yourself 50% organic growth in the quarter, and we continue to deliver our strategic ambition to get Europe to where U.S. is, which is going quite quickly. And we see that we're increasing the penetration really quickly on the Europe market. Then we have a strategic priority also, of course, to win in kids. For us, it's really important to get also bigger penetration of kids helmet and then also getting into new channels and markets. Safety is also a big priority. So if we exclude Q2, which is not a normal quarter and, of course, an exceptional quarter, I think we are delivering quite well on that ambition.
Gustav Hagéus: But -- and if you see then that perhaps short 30% growth this year. Where do you see sort of the -- as you see it now, the steps towards the SEK 2 billion by 2029, do you see that growth should pick up then year-over-year in '26? Or is '27, '28 more you think reasonable to assume where you have a pickup in growth to get to the SEK 2 billion?
Max Strandwitz: Yes. I think the normal situation was, of course, that we see this already happening in 2025. Then, of course, we didn't plan with the tariffs. I think that will bounce back, and we will come back to a more normal running rate over time. Like we said, if you take the 2029 number and divide by the years, you get to a growth slightly above 30%, and that's what we should be trending at going forward.
Gustav Hagéus: And I noticed you mentioned new markets as part of that strategy. Is that geographical markets? Or do you see that there are adjacent categories where you might expand? I noticed you -- I mean, you're not very active in the ballistic helmets, for instance, and times are changing and maybe that could be a growth driver for you if you were to focus on that or are you happy with the progress at the moment?
Max Strandwitz: We have opportunities when it comes to market. One is, of course, to continue to grow in doing geographic expansion. There, of course, you have Asia, which is very interesting for us and something which has become a bigger part of our portfolio, and something that we see developing quite well also over time. Last quarter was down a little bit. But if you look over time and the rolling 12 months, we have a quite good performance in Asia. And then for us, today, we are engaged in 9 subcategories. Of course, we're always looking into getting into new subcategories. Our strategy 2029 is called Heads. And the reason for that is we focus on helmets. That's where we still see a lot of opportunity and of course, being able to go into a lot of new categories. So there is still a lot of untapped opportunities in helmets; military helmets, fire brigade helmets, police helmets. So there is a lot of new areas which we can go into. Just in the industrial safety, you also have mining helmets, offshore helmets, logistic helmets. So for us, it's more that when we go into a sector, we want to understand the injury criteria. We do quite a thorough job to really understand the accident scenarios and then, of course, make sure that we have a relevant solution for those type of helmets. So there is, for sure, new opportunities that we can get into when the time is right.
Gustav Hagéus: And coming back then to the -- my final question on the legal costs. You guide here for another roughly SEK 23 million perhaps in H2, so SEK 40 million, SEK 45 million, SEK 50 million for the year. Is that -- do you think it will be -- are there -- what's the likelihood that this is going to trend also into 2026 that you'll have costs related to this specific issue also in next year? Or should we assume that you would get a delta of, say, SEK 26 million -- or SEK 46 million to earnings next year then from not having to pay these legal fees?
Max Strandwitz: I mean it all depends on how the case develops, of course. Like I said and explained, this is in the preparatory phase, and we spend a lot of money in the preparatory phase because we want to prepare ourselves. Normally, as these procedures are normally quite long, you spend a lot of money in the beginning, then you normally go into a little bit of vacuum if needed. So you will probably not have the same magnitude of cost over time.
Gustav Hagéus: And when is the actual court date or hearing?
Max Strandwitz: We don't know yet.
Operator: Now we're going to take our next question. And the question comes from the line of Carl Deijenberg from DNB Carnegie.
Carl Deijenberg: So a couple of ones from my side. Maybe coming back a little bit to -- if you could just talk a little bit about the underlying market trends, excluding market shares and so on, maybe what you've seen or if you have any rough estimate of what the sellout development, for example, has been in the U.S. and Europe on helmets year-to-date? And also, if you could talk a little bit on the price adjustments you're quantifying, I guess these are quite isolated to the U.S. Or has there been an impact also on the European market on price?
Max Strandwitz: Yes. So the latest market data is still Q1 data because, of course, the new market data for the U.S. market is not coming until end of July. So you need to bear with me a little bit with that. But if you look at Q1 data for the U.S. market, you saw a few percent down when it comes to the bicycle helmet market. So the consumer are still a little bit careful on their spending. When it comes to the snow helmet market in the first quarter, it was actually up 8% in volume and actually up 12% in price. So there, of course, you saw very positive momentum in the snow helmet category and so on. And of course, we also see that. So still a couple of weeks until we get the Q2 reporting. I think the overall assessment is that the U.S. consumer is still a little bit more careful and so on. We see that rider engagement in the U.S. market is going up. So more people are bicycling, but still that does not translate yet into improved consumer behavior. This can, of course, change. But at the moment, careful U.S. consumer. If you then look at the European market, it's very difficult to get like consolidated data because it's country by country. But if we look at the countries where we see very positive development, Germany is doing exceptionally well. We see a lot of the reporting also from external retail partners and so on that they also see good German market, and we do see that also France is also doing relatively well for us and so on. So we are gaining a lot of traction in the European market, and we see that, that consumer is coming back. It's important to know that it's still from a relatively low level. Europe has been a little bit more of depression than the U.S. market. But of course, we see that the Europe consumer is coming back relatively quickly. And then when it comes to the price increase, of course, price increases on the U.S. market has been somewhere around 10% to 15%. Rest of the world much fewer because, of course, it's difficult to translate the tariff increases into price increases and so on. So much less and more inflationary type of price increases that we see.
Carl Deijenberg: Yes. And maybe following up on that, I mean, I appreciate that you report the geographical exposure on the customer and the domino side. But do you have any rough estimate on what the sell-out mix between, let's say, Europe and the U.S. is for you now?
Max Strandwitz: Yes. Since Europe is gaining a lot of traction, it used to be like 50%, 30%. So 50% U.S. market, 30% in Europe for Mips. But of course, as we're increasing penetration quite quickly, we see that Europe is increasing in penetration quite fast and outgrowing, of course, for us, the U.S. market. And then I think the key issue at the moment is today, with the challenges of the tariffs, there is more products being sold out than actually being bought in. So the hesitation that a lot of brands have during the Q2, of course, resulted in that they do not replenish at the rate that product is being sold out. So of course, that will, of course, also be a problem long term if that continues.
Carl Deijenberg: Yes. And maybe one final from my side. Coming back to safety and the announcement of the partnership yesterday, obviously seem to be quite a sizable player. I just wanted to ask if you have any updated estimate or appreciation of how much of the size of the TAM in safety that your total partnership base now covers. I think you used to give a comment on this a couple of quarters ago. And obviously, you've been adding quite a few since?
Max Strandwitz: Yes. I mean we're very happy with the partnership with Bullard. It's quite an organic brand, really strong market position, not only in U.S. but also in the whole world. They are one of the bigger players. We used to say that we had a customer base that represented somewhere around 30% to 40% of our addressable market. With Bullard, we could probably assume that we are closer to the 40% than the 30%.
Operator: Now we're going to take our next question. And the question comes from the line of Daniel Thorsson from ABG Sundal Collier.
Daniel Thorsson: Quite a lot of questions already covered here. I have one on U.S. inventory situation. Do you see any case that some customers are building up inventory here in June that may have helped the end of the quarter or potentially building up inventory in July, August because of [indiscernible] which may help Q3 [indiscernible] potential backlash for Q4?
Max Strandwitz: No, we have not seen that effect probably on the contrary that they are more lacking supply rather than getting too much of it.
Daniel Thorsson: Okay. And is that the case for all the categories or...
Max Strandwitz: No, I think -- I mean, the main one is, of course, bike as we are in the bike season because that's where we see most of the helmets being sold in the U.S.. Snow market, we were a little bit worried about in the last call that said that production needs to start again after the vacuum that we saw in the beginning of the quarter. As we now see that we were delivering quite strong growth in snow in the second quarter despite a very strong growth or prior year comparator of 60% growth. You can assume that, that production actually started to happen and so on. So we see good momentum also there and that a lot of the brands have prepared themselves well also in snow for the coming season.
Daniel Thorsson: Okay, I see. And then I have a second question on the Moto market. Do you see any progress in world market versus any of your [indiscernible] Moto market here?
Max Strandwitz: No. I think for us, it has been much easier to penetrate the MX market. We have, I think, 2/3 of all the podiums in the MX circuit and in Supercross, so really good penetration there. There, of course, they tend to use a lot of protective equipment and so on. So there, it has been a really good market to penetrate and so on. When you look at the road, it's a little bit more traditional market. But of course, also signing a new Moto GP rider means that we are serious of entering into that market, and you will also see a lot more road helmet [indiscernible] models being rolled out in coming quarters. So yes, it has taken a little bit longer time, but it's still as relevant, and we have actually quite a lot of success also on that market. We did develop a couple of new technologies in the last year where our fabric solution, which is Integra TX, which is, of course, a very important one to really enter into that where we deliver the whole padding system. And in total, we have done 15 projects with that, that is being rolled out to the market and of course, both increasing revenue, but also our penetration into the on-road market.
Operator: Now we're going to take our next question, and it comes from the line of Emanuel Jansson from Danske Bank.
Emanuel Jansson: Just looking at the end of this quarter, given that you have seen this sequential improvement throughout the quarter when it comes to -- I assume volume growth, is it fair to assume that you have seen growth in all of your 3 segments now by the end of this quarter?
Max Strandwitz: Yes.
Emanuel Jansson: Okay. Good. And jumping to this Bullard announcements, I think if you read on their own web page, they claim that they sell around 6 million helmets per year. Is that mainly in the U.S.? Or is this globally? And should this maybe be seen as one of your top 5 biggest collaborations today in terms of number of helmets sold?
Max Strandwitz: Yes. I think, first of all, I mean, their big market is, of course, the U.S. market. They are really an iconic brand in the U.S., but they have quite good distribution all over the world. Since we started yesterday -- or announced yesterday, of course, they are still not the top 5 of the customers. But of course, there is a lot of potential in that collaboration.
Emanuel Jansson: Yes. Great. And maybe a final one for me then. You're talking about the -- in the CEO's comments about the reallocation of production from the manufacturers. How much of the production is reallocated today and how much you think will be? And where is it heading?
Max Strandwitz: Yes. I mean it's going quite quickly in terms of the ambition to relocate and so on. And there is a lot of activity. Main part of the volume is today going to Vietnam. Six new factories has been open only during the last years and so on. Even though there is a big ramp-up of the activity, I still estimate that not even 10% of the total helmet volume will be produced in Vietnam. So it will take a little bit of time. If we look at the shoe industry that did the same transition some years ago, it took around 10 years to fully relocate everything to Vietnam. I think it will go quicker, but it will at least take a couple of years before you have a substantial volume in Vietnam. Some of the bigger brands move quicker because, of course, they get priority, but it will still take some time before Vietnam will be a bigger part of the helmet manufacturing world.
Emanuel Jansson: Okay. Great. That's very clear. What do you think the impact, near term, can be due to this reallocation?
Max Strandwitz: Yes. I think from Mips, I mean, when necessary, we move the tooling with the brands. It normally takes a couple of weeks, so not a big disruption in terms of that. Sometimes, of course, they halt production, then they produce a couple of months later in another factory, but nothing that will be that disruptive as such and so on. So no dramatic effect to be seen.
Operator: There are no further audio questions, and I would like now to hand the conference over to your speaker for any written questions.
Max Strandwitz: Yes. So the first question is from ABC Helmets. I'm not sure who that is. But it is, has the Mips solution shown to improve brain protection in the Safety category? And of course, what Mips tried to do, we try to redirect energy. As we are the market leader, we took a decision, of course, to always rely on third-party validation. So when we entered into the category, we did a lot of external testing, both at the state laboratory at VTI, where we evaluated Mips for tangential forces in 3 different directions. We looked at falling objects and we looked at moving objects and then, of course, in fall accident, of course, with good results in all of the 3 different types of accident criteria. Since then, of course, a lot of more further validation has been done in the area. So yes, we have done that. And with all investors or brand partners, you're more than welcome to visit the Mips test lab, and we will show you a little bit more on what we have done in the area. Then, of course, the second question is that we have SEK 200 million, SEK 300 million on the balance sheet, and there is a question why the financial income is more or less 0. Maybe over to you, Karin, to answer that question.
Karin Rosenthal: Yes. So currently, we have all our money as cash at bank. So what we did this quarter was that we paid out dividend of SEK 172 million. So we paid out more than net earnings, 122% of net earnings.
Max Strandwitz: Yes. And then there is a question again from ABC Helmets. When can we anticipate to see results from legal costs? I think in all these legal cases, it's very difficult to anticipate when things will happen. We invest in this process because we think it's the right thing to do. We want to make sure that we have the right rights on the market. Mips technology or patents is not included in the process. It's about someone else rights, which we want to make sure is the right ones. And therefore, we invest in the process. But of course, you can never anticipate when you will have a result of any legal process. Then there was a question on Asia and Australia and that it was slightly down versus prior year. And yes, you're right. We have had fantastic growth on the Asian market. We have seen a little bit more careful consumer in China, especially. And of course, we see that, that consumer is coming back a little bit. We see also a lot of incentives from the Chinese government so on. I'm not that worried about the Chinese market. We see that we are increasing market share and penetration, and I believe that, that will base back. Then, how confident are you on the success of your patent case? That again comes from this ABC Helmets. And it's not our patent case. So of course, we can't be confident at all about our patent case. And then there is a long question. How will your 2 new sales professionals in the U.S. help to sell into 40% of the TAM? And of course, when we add people, it's not like they go and physically sell helmets on the U.S. market. Our job is educational job. We are an ingredient brand. So of course, we partner up with a lot of our helmet brands. That's our success model, and that's, of course, how we gain leverage and really leverage the ingredients brand model. So no, they will not go physically to everyone, but more help on educating the market on what Mips does and why we are relevant also in the Safety category. I think that's all the questions that we have been seeing also electronically. Thank you, everyone, for listening into the call. Hope that you have a fantastic summer, at least we will have that now when we take holidays for a couple of weeks and then speak to you again after the Q3 results announcement. Thank you, everyone, for listening in.
Operator: This concludes today's conference call. Thank you for participating. You may now all disconnect. Have a nice day.